Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Korn/Ferry Fourth Quarter Fiscal Year 2014 Conference Call. (Operator Instructions) As a reminder, this conference call is being recorded for replay purposes. (Operator Instructions) We have also commented below the Investor Relation session of our website at kornferry.com a copy of the financial presentation that we will be reviewing it today. Before I turn the call over to your host, Mr. Gary Burnison let me first read the cautionary statement to investors. Certain statements made in the call today, such as those relating to future performance, plans and goals constitute the forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the company believes the expectations reflected in such forward-looking statements are based on reasonable assumptions, investors are cautioned not to place undue reliance on such statements. Actual results in the future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties, which are beyond the company's control. Additional information concerning such risks and uncertainties can be found in the release relating to this presentation in the company's annual report for fiscal 2013 and in other periodic reports filed by the company with the SEC. Also, some of the comments today may reference non-GAAP financial measures such as the constant currency amounts, EBITDA and adjusted EBITDA. Additional information concerning these measures, including reconciliations to the most directly comparable GAAP financial measure, is contained in the financial presentation and release relating to this call, both of which are posted on the company's website at www.kornferry.com. With that, I'll turn the call over to Mr. Burnison. Please go ahead, sir.
Gary Burnison: Well, thank you Kathy, good afternoon everybody. And I am glad you’d joined us. I've got Bob Rozek our CFO; and Gregg Kvochak here in Los Angeles. Let me first start out by saying that I am very, very pleased with the results for this last fiscal year which ended in April as well as the fourth quarter. I am very, very proud of this organization in the company and I think our shareholders as well. As I said we closed out the year with a really strong quarter generating about $252 million in fee revenue that was up almost 11% constant currency over the prior year it was the strongest top-line results in the company’s 45 year history. EPS was $0.43. I’d also point out that quarter year-over-year future staff was up 20% and LTC was up 10%. Our balance sheet continues to be rock solid. We have about $468 million of cash and marketable securities. $211 million of which is an investment. We call investable cash that Bob and Greg will get into. You know this last 12 month is certainly as I said, been transformative for Korn/Ferry. And we are clearly positioning this organization as the premier leadership in talent, consulting first in the world. And I just, would say during the year that we’ve really I think accelerated our journey going from a modern line to a multi solutions organization today 41% of our business is generated from outside search. So we on a run-rate basis just a fourth quarter time square you’ve got a company that’s doing a little bit over a $1 billion in revenue. And on a run-rate probably about a $140 million of EBITDA or so and when you look at our $1 billion, again just taking fourth quarter times. For you to find that the search comprises a little bit less than $600 million or so and the non-search the future step in LTC businesses represent a little over $400 million. For the year, our revenue was $960 million that was 19% on a constant currency basis versus 2013. And I think first and foremost we maintained our number one position in global search that is absolutely the door openers for us it gives us tremendous brand permission. And I am very, very proud of what we’ve done there. As well as integrating this acquisitions we’ve not only integrate them, but we’ve actually grown those businesses organically. So LTC they had that number for the year, I would suggest it’s our 52% but that includes the acquisitions on an organic basis, it was up about 19% year-over-year again, 10% in the quarter it now represents about 27% of our revenue. And future staff as well grew out 12% during the year that’s all organic. And as I said in the quarter it grew 20% and that represents about 14% of our overall revenue mix so as we start this first quarter and head into fiscal ’15, I am very optimistic, I think we’re in a formidable position, we’re going to continue to diversify our business, we’re going to create reasons for our organization to proactively dialogue with clients, we want to make our brand more elastic, we want to continue to participate in larger strategic adjacent markets to executive search. And again not just helping client to get great people but having them worked together and we’re going to drive and integrate go-to-market strategy during the year. We are going to use our intellectual property from the Korn/Ferry institute as a real differentiator around talent analytics and demand generation and the likes, so I am looking forward, I am very optimistic and excited about this year it’s coming up and with that I think what I am going to do is I’ll turn it over to Bob and he can comment and over to Gregg.
Robert Rozek: Great. Thanks a lot Gary and good afternoon everyone, fiscal ‘14 really marks the conclusion of my second full year at Korn/Ferry and it was an absently fantastic year for the firm. It was a year in which we achieved many major financial and strategic milestones while continuing to position ourselves for future growth as Gary just talked about. As worldwide economy in labor market if continue their gradual recovery, we remain focus on our goal of adding to our clients who the bundling of our industry leading recruitment services with their best in class talent management diagnostic and development tools. Our fourth quarter and total year financial results demonstrate our success and really in my mind continue to validate our strategy. As Gary said our fee revenue in the fourth quarter which was slightly about the high-end of our guidance came here at about $252 million with strong growth across all three of our major service lines at constant currency our fee revenue was up $24.4 million or 10.7% year-over-year and up $9.6 million up 4% sequentially. The constant currency fee revenue for all our fiscal ’14 grew nearly $155 million or 19.1% with 41% of that being generated from services other than executive recruitment. If you adjust for the prior year acquisitions, our fee revenue for the full year was up 9.3% at an organic basis. As expected executive search new business was seasonally strong in the fourth quarter although was even month-to-month worldwide executive search new business was up approximately 7% compare to Q3 and up about 10% compare to the fourth quarter of fiscal ’13. In LTC new business awards in the fourth quarter rebounded 9% from a seasonable low in the third quarter and up approximately 6% year-over-year. And finally future steps new business awards in the fourth quarter were flat sequentially but up nearly 27% when compare to the fourth quarter of fiscal ’13. And for all of fiscal ’14 future steps was awarded approximately $85 million of new RPO contracts with about $13 million of that coming in the fourth quarter. Despite recent investments targeted drive growth in future periods, our profitability remain stable in the fourth quarter excluding all restructuring and integration charges in the fourth quarter of fiscal ’13. Adjusted EBITDA improve $6.7 million or 24% year-over-year to $34.5 million in the fourth quarter of fiscal ’14, compare to the third quarter of fiscal ’14, our adjusted EBITDA in the fourth quarter was down slightly by about $750,000 or 2.1% and that was primarily due to investment hiring. We had some hires in the third quarter which we felt the full impact on in Q4 as well additional hires in Q4. We had some incremental training and business development expenses and as our top-line continue to grow and we have greater consultant productivity that results in higher variable incentive pay. Our EBITDA margin was 13.7% in the fourth quarter compared to $14.5 million in the third quarter and 12.2% in the fourth quarter of fiscal ’13. For all the fiscal ’14 adjusted EBITDA was up $40.5 million or over 41% reaching just over $138 million with improvement across all service line. Our consolidated adjusted EBITDA margin was 14.4% for all the fiscal ’14 compared to 12% for fiscal ’13. On a GAAP basis fiscal ’14 fourth quarter operating earnings were $24.5 million with a 9.7% margin excluding restructuring and integration chargers in the fourth quarter of fiscal 13, our fourth quarter operating earnings were $5.6 million or 29% year-over-year with the 140 basis point improvement in margin and down $2.8 million or 10% sequentially with the margin sleeping about 160 basis points again due to the same three reasons I previously discussed. And then for all of fiscal ‘14, our operating margin on an adjusted basis improved 170 basis points to 10.4%. As Gary mentioned, our financial position continues to strengthen. In the fourth quarter we ended up with total cash and marketable securities of $468 million, that’s up $91 million compared to the third quarter of fiscal ‘14 and up 102 million compared to the fourth quarter of fiscal ‘13. If you exclude cash and marketable securities reserved for deferred comp arrangements and further bonuses that we will pay shortly, the current investible cash balance is about $211 million, up $50 million or 31% compared to the third quarter of fiscal ‘14 and approximately 36% or $75 million of that balance resides in the United States. After considering our working capital needs, our net investible cash is approximately $136 million with about 25% or 35 million of that sitting in the U.S. And finally, our fully diluted earnings per share in the quarter were $0.43. Adjusting for our restructuring and integration charges in the fourth quarter of fiscal ‘13, earnings per share improved $0.11 year-over-year or it’s about 34%. Sequentially fully diluted earnings per share were flat similar to the third quarter of fiscal ‘14; the fourth quarter was benefited by lower tax rate which drove little bit more than $0.04 per share of net earnings. And for all of fiscal ‘14, adjusted earnings per share were $1.60, a year-over-year improvement of about $0.50 or 45%. I am now going to turn it over to Greg who will go through our operating segments in a little more detail.
Gregg Kvochak: Thanks Bob. And start with our Executive Recruitment segment, globally revenue in our Executive Recruitment segment was seasonally strong in the fourth quarter. Consolidated executive recruitment fee revenue in the fourth quarter was $148.2 million, up $4.1 million or 2.9% sequentially and up $11.4 million or 8.3% year-over-year. On the regional basis at constant currency North America was up 4.3%, Europe was up 1.9%, Asia Pacific was up 7.8% while South America was down 17.4% sequentially. On a year-over-year basis also at constant currency, North America grew 4.3%, Europe grew 17.9%, Asia Pacific was up 19.3% and South America was down 10.6% in the fourth quarter. For the full year, every executive search region grew led by Europe and Asia Pacific which were up 11.9% and 21.8% respectively at constant currency. Compared to the third quarter, growth in our executive recruitment specialty practices was mixed in the fourth quarter. Worldwide growth was strongest in our industrial practice up 25%, life sciences and healthcare practice up 4% and our financial services practice which was up 2% while our technology and consumer goods practices were down 15% and 4% respectively. Financial services accounted for approximately 19% of all executive recruitment fee revenue in the fourth quarter which was flat sequentially. Year-over-year all of our specialty practices grew in the fourth quarter with the exception of the technology practice. Financial services was up 22%, industrial was up 14%, life sciences and healthcare was up 10% and consumer goods was up 1%. Worldwide the technology practice was down 3% year-over-year in the fourth quarter driven primarily by softer market conditions in Europe, Asia Pacific and South America. For all of fiscal ‘14 all of our global specialty practices grew led by the financial services and life science and healthcare practices which were up 16% and 20% respectively. The total number of dedicated executive recruiting consultants worldwide at the end of the fourth quarter was 432, up 33 year-over-year and up 8 sequentially. Annualized fee revenue production per consultant in the fourth quarter was flat sequentially at $1.38 million compared to $1.37 million in the fourth quarter of fiscal ‘13. The number of new search assignments opened worldwide in the fourth quarter was 1,303 which was up 5.8% year-over-year and up 5.6% sequentially. Consolidated executive search EBITDA in the fourth quarter was $31.7 million with a 21.4% margin. Excluding restructuring charges in the fourth quarter of fiscal ‘13, executive search EBITDA the fourth quarter improved $4.9 million or 18.6% year-over-year with a 180 basis point improvement in margin. On a sequential basis, higher costs associated with investment hiring and higher incentive compensation expense associated with greater consultant productivity drove EBITDA lower by $1.8 million with 190 basis point drop in margin. For the full year executive search’s adjusted EBITDA was $127.8 million with a 22.5% margin compared to $99.9 million with a 19.1% margin for all of fiscal ‘13. Now turning to our leadership and talent consulting segment; rebounding from a seasonal low in the third quarter worldwide fee revenue for L&TC improved to $66.3 million in the fourth quarter. Measured on a constant currency basis, L&TCs fee revenue in the fourth quarter grew sequentially by $4.1 million or 6.5% driven primarily by strength in the North America region which was up over 13%. Compared to the fourth quarter of fiscal ’13 also on a constant currency basis L&TCs fee revenue grew $6.1 million or 10.1%. Regionally North America accounted for approximately 73% of the total L&TC worldwide fee revenue in the fourth quarter compared to 69% in the third quarter of fiscal ’14. For the full year and excluding the partial impact of recent acquisitions L&TCs fee revenue grew $14.6 million or 8.7% organically in fiscal ‘14. At the end of the fourth quarter there were 127 dedicated L&TC consultants compared to 125 in the third quarter fiscal ‘14 and 133 in the fourth quarter of fiscal ‘13. Professional staff utilization improved to 70% in the fourth quarter from a seasonal low of 61% in the third quarter, compared to the third quarter of fiscal ‘14 L&TCs EBITDA in the fourth quarter was up approximately $1 million or 10.6% to $9.9 million with the 60 basis point improvement in margin. Adjusting for restructuring charges in the fourth quarter of fiscal ‘13 EBITDA in the fourth quarter was up $3.7 million or 59% year-over-year, with a 470 basis point improvement in margin. This improvement in profitability was driven primarily by post acquisition integration, cost savings realized from the restructuring activities initiated in the third quarter and fourth quarters of fiscal ‘13. Finally turning to Futurestep which grew for the sixth consecutive quarter and generated $37.3 million of fee revenue in the fourth quarter. Measured on a constant currency basis, Futurestep’s fourth quarter fee revenue was up $6.3 million or 21% year-over-year and up $1.3 million or 3.5% sequentially. On a regional basis measured sequentially at constant currency North America was up 10.2%, Europe was up 8% and Asia-Pacific was down 12.5%. For all of fiscal ‘14 Futurestep generated the strongest revenue growth improving $136.8 million of fee revenue which was up nearly $16 million or 13.1% at constant currency. Finally driven primarily by stronger fee revenues, Futurestep’s EBITDA also grew in the fourth quarter reaching 4.8 billion of the 13.1% margin. Now I’ll turn the call back over to Bob to discuss our outlook for the first quarter of fiscal ‘15.
Bob Rozek: Thanks Gregg. In the fourth quarter monthly new orders again were seasonally strong but we also experienced some unevenness on a month to month basis, which is consistent with what we have been seeing in recent historical patterns here. And looking forward to the first quarter of fiscal ‘15 we expect similar choppiness and expect that new orders towards the end of the quarter will be down slightly due to the beginning of the summer vacation season. Additionally, as we previously talked about on a couple of calls last year we’ve implemented the time and technology systems and invested into those systems which really were designed to allow us to further integrate the legacy businesses with the recent acquisitions, due primarily to the efficiencies we expect to gain from these investments the other integration actions related to the recent acquisitions, and several other cost saving initiatives, we plan to take additional steps to rationalize our cost structure in the first quarter of fiscal ‘15. We estimate the realized savings in fiscal ‘15 associated these actions to be in the range of $0.08 to $0.10 per diluted share with the cost of these actions in the first quarter of fiscal ‘15 in the range of $0.06 to $0.06 per diluted share. Now assuming worldwide economic conditions, financial markets and foreign exchange rates remains steady, fee revenue in the first quarter of fiscal ‘15 is likely to range from $240 million to $250 million and after taking into consideration the cost saving actions adjusted diluted earnings per share are likely to range from $0.37 to $0.43 with diluted earnings per share as measured by U.S. GAAP likely to range from $0.29 to $0.37. So that concludes our prepared remarks. We would be glad to answer any questions you may have.
Operator: Thank you. (Operator Instructions) We’ll take our first question from Tim McHugh with William Blair. Go ahead please.
Stephen Sheldon - William Blair & Company: It's actually Stephen Sheldon in for Tim. Thanks for taking my questions. First, I just want to ask about the margin in the executive search business. It came in a little lower than we expected this quarter, given the level the business had been operating at over the prior three quarters. So, sorry if I missed this, but I'm just wondering what drove it lower this quarter. Is it related to bonus accruals or having to spend more to find talent? Just any color there would be appreciated.
Gary Burnison: Yeah I think it’s actually two things. Stephen one is the investment hiring that we makes if you look at the debt we put on the Web site you’ll note that there is about 12 positions added senior client partner levels in Q3 so we felt the full effect of those in the fourth quarter relative to where we were in third quarter and then there was another eight that were hired in the fourth quarter. And in addition as our revenues continue to ramp up the productivity for each of the search to partner grows and those bonus dollars associated will go back to dollar one so that really was the driving force.
Stephen Sheldon - William Blair & Company: Okay. And it looks like the Futurestep business had another good sequential revenue increase. So just kind of wondering, is this $36 million, $37 million of quarterly revenue contribution -- is that sustainable? And could it move up even more from this level?
Gary Burnison: Whether it’s -- listen I mean its sustainability will depend on I mean in some respects on the economic cycle but we view Futurestep as participating in a market that is multibillion dollars. And we think we’ve got a multi $100 million opportunity here so we obviously have to have descent tailwinds behind us economically but I would hope that we continue to grow on the foundation we’ve built in Futurestep.
Stephen Sheldon - William Blair & Company: Okay. And then last, I guess -- the $0.08 to $0.10 of cost savings that you highlighted for fiscal 2015 based on the actions you're expecting to take, should we expect that to be evenly weighted throughout the year, or is it more heavily weighted towards second half of the year?
Gary Burnison: I would say weight of more heavily towards the second half of the year would the way that I would break those in. And obviously as we go through the course of the year as well we’re always looking to continue to bring new talent and make investments back into the organization so some of that could be reinvested back into our results as the year goes by.
Operator: Thank you. (Operator Instructions) We’ll go next to Mark Marcon of Robert Baird. Go ahead please.
Fischer Van Handel - Robert W. Baird & Company, Inc: Good afternoon. This is Fischer Van Handel sitting in for Mark Marcon. I had a quick question regarding the long-term headcount plan for fiscal 2015. I was wondering if you could give more color around that plan and where you guys are thinking to add more. And the capacity potentially that you guys have around the European region.
Gary Burnison: Well, we don’t -- we certainly don’t comment on our headcount plans longer than a quarter out. But I would say that we’re always looking to bring talent into the organization and promote talent within we continue to believe that today. So whether in any part of our business we would have an appetite to bring people in and to promote people as well. And that would also if you cut it geographically you would find our appetite to be very-very evenly weighted all around the world.
Fischer Van Handel - Robert W. Baird & Company, Inc: Could you discuss a little bit further on the different multi-revenue trends kind of geographically? I know you said it was somewhat lumpy, but just kind of in regards to the European region versus North America region, were there any significant differences?
Gary Burnison: So I would say that when you look year-over-year and we look at our business for example let’s just take the search channel for a minute I think that you’d have to look at Europe and Asia and say what a remarkable job we’ve done for sure and when you look broader to LTC and Futurestep and how we’re integrating those businesses how we’re going to market as one you would also have to think about the North American business there and how that’s coming together. So, when you look sequentially we did show growth sequentially I think it was pretty broad based with the exception of South America as you would expect both sequentially pretty broad based. And year-over-year when you look at it, you recently, what would come screaming off the pages is Europe and Asia, however you just, you can’t ignore what we have in the North America just an incredible business. And I think we’ve really done a good job of integrated the businesses and going to market outside.
Operator: Thank you. And our next question is from Ty Govatos with TG Research. Go ahead please.
Ty Govatos - TG Research: Yes. How are you? Couple of numbers questions, bonus accrual for the quarter and the year?
Bob Rozek: Okay. For the quarter it was about $41.5 million and for the year about $145.5 million.
Ty Govatos - TG Research: Terrific. Bob, do you have any guessing what the tax rate might be for first quarter in 2015?
Bob Rozek: Yes. We’re focusing right with all of our internal planning about a 34% effective rate at go forward basis. This past year we had a couple of what I would come on, onetime items come up that were positive, which actually drop the rate down so we had a assortment of an IRS audit as well as we continue to rebound in some of the outline geo-restrictions we’ve released some valuation allowance so that resulted. And some positive news into the rate for the current year, the go forward I would think about 34% that be good rate. 
Ty Govatos - TG Research: Okay, terrific. The guidance you’re getting for the upcoming quarter $0.29 to $0.37 includes the rationalization cost?
Bob Rozek: It does that’s correct.
Ty Govatos - TG Research: And the other one -- Gary, sorry to do this to you. In all the time I've been covering Korn/Ferry, Futurestep has always grown pretty much in step function. Big surge in volume, and then there's a catch up in cost. Investment spending to beef up the base. Is there any reason to expect that to change, or do you get to some point where it's far more scalable further down the road?
Gregg Kvochak: Well, we would hope it’s scalable it’s not in a nature of the project; I would say that I am very optimistic with Byrne Mulrooney and his team; we’ve got a team that spend together quite a while. Where we’re building there was a -- we had quite a bit of success during the year particularly in the technology life sciences area and so we secured a number of contracts going back, several quarters ago that really worked their work through. So I would hope that we can show this kind of expansion of the EBITDA margin hopefully.
Ty Govatos - TG Research: Okay. If you had a guess looking out three to five years, do you think a leadership or future step will have higher margins or should they be just about the same?
Bob Rozek: Yes. I would say Ty that if you look at our longer term view of those businesses I would say the leadership business is a 15% to 18% margin and then future step was more likely in the 13% to 15% range.
Operator: Thank you. Next we have Josh Vogel with Sidoti & Company. Go ahead please.
Josh Vogel - Sidoti & Company: Thank you. Good afternoon guys. I may have miss but I apologize, but could you talk about the acquisition pipeline and if we did see any M&A activity do you think would be still more in the LTC space or future step?
Bob Rozek: Well, we, I really I don’t think anything has changed Josh in terms of our game plan in term, looking for intellectual property looking for solution and services that can add scale. Looking for those reasons that we can proactively dialog with clients and how to accelerate their journey so from that perspective really has nothing has changed. When you look at the landscape you’ll find that the LTC world is more targets rich and the future staff not so much.
Josh Vogel - Sidoti & Company: Okay. And when you're looking at your LTC platform, do you see any gaps that you still need to fill, or do you feel comfortable where the business is today and where it can grow to?
Bob Rozek: No we’ve seen plenty of opportunity, number one is our company we see opportunity organically for deeper penetration of our existing clients number one and secondly we do see opportunity to both add stuff and scale into our leadership business as well as breadth of service offering. So we actually see that.
Josh Vogel - Sidoti & Company: Okay. And you had some comments about in Futurestep, I think it was about $85 million of new RPO contracts; about $13 million was in Q4. So you already have $70 million in revenue that is locked up for fiscal 2015. Is that the way I should look at it?
Bob Rozek: Now some of those, the contract extend over longer periods of time, then just the year. So the average length for the contract in fact was right around two years, this past year with new business activity I think it stretched out close to three.
Josh Vogel - Sidoti & Company: Okay. And just one housekeeping one. There was a pretty big sequential spike in D&A, and could you give us an idea of what you think the run rate will be going forward?
Bob Rozek: Yes, I would say that the fourth quarter is probably more indicative of goal forward run rate maybe little bit more upward pressure to be continued to make some investments in our technology. We had previously talked about investing back into common general ledger platforms as well as workforce management tools, so the spike up that you see is kind of those systems being put into place.
Operator: Thank you. And as appears there are no further questions, Mr. Burnison.
Gary Burnison: Okay, well, I first want to thank our shareholders for their interest in our story number one, secondly I would like to thank our board for their advice and certain for our colleagues the world. I am just enormously proud of the Korn/Ferry that we built and more importantly the Korn/Ferry we’re going to build. So with that, I’ll say good day and we’ll talk to you next time. Bye.
Operator: Thank you. And ladies and gentlemen, this conference call will be available for replay for one week starting today at 7 p.m. Eastern Daylight Time and running through June 23, at midnight. You may access the AT&T Executive Playback service by dialing 1-800-475-6701, and entering the access code 329166. International participants may dial 320-365-3844, using the same access code 329166. Additionally, the replay will be available for playback at the Company's website at www.kornferry.com in the Investor Relations section.